Operator: Ladies and gentlemen, thank you for standing by. Welcome to the FutureFuel 2013 second quarter conference call. At this time all participants are in a listen-only mode. Following management's prepared remarks, we will hold a question-and-answer session. (Operator Instructions). As a reminder this conference is being recorded today, August 9, 2013. I would now like to turn the call over to Mr. Lee Mikles, President of FutureFuel Corp. Please go ahead, sir.
Lee Mikles: Good morning. Thank you Kevin. Good morning this is Lee Mikles from FutureFuel Corporation. Thank you for participating in today's call to discuss FutureFuel's 2013 second quarter financial results and business progress. Joining me today from FutureFuel is Rose Sparks, our Chief Financial Officer. I would like to remind the listeners that comments made during the call will include forward-looking statements within the meaning of the federal securities laws. These forward-looking statements involve risk and uncertainties that could cause actual results to be materially different from any of the anticipated results. For a list and description of these risks and uncertainties, please review FutureFuel's filings with the Securities and Exchange Commission. Please note that the content of this call contains time sensitive information that is accurate only as of today August 9, 2013. FutureFuel disclaims any intention or obligation to update or revise any financial projections or forward-looking statements whether as a result of new information, future events or otherwise. With that I would like to turn our attention to the second quarter results. The second quarter 2013 results was a record quarter for financial performance. Revenues were up 3% for the quarter. Adjusted EBITDA totaled 25 million at 327% that income increased to $18 million or $0.42 per diluted share from 8 million or $0.21 of diluted share. Rose will walk us through the details and then we will be available for questions. Rose?
Rose Sparks: Thank you Lee and good morning everyone and thank you for joining us. For the second quarter revenue increased 3% to 16.1 million from 103.2 million in the second quarter of 2012. Biofuel’s revenue increased 3% and totaled 64 million as compared to 62.3 million in the comparable period in the prior year. We experienced increased biodiesel sales volume with a higher average selling price in a very strong market for biomass based diesel RINs. Chemical revenues increased 3% to 42 million, revenues increased for the following chemicals, (inaudible) industrial intermediate increased 92%, other custom chemicals 45%, other performance chemicals 6%. Partially offsetting these increases was a 29% reduction in the proprietary herbicide intermediates at 12% reduction in the bleach activator, the 4% reduction in CPOs a 3% reduction in the DIPB (ph). As previously reported our sales contracts for the proprietary herbicide and intermediates will terminate on September 1st, we anticipate that we will continue to do business with our customer after the termination day provided we can reach mutually acceptable terms. Turning to gross profit for the quarter both segments experienced interest growth profits from economies of scale on fixed resources as new chemicals were added but to a greater extent from biodiesel over the comparable period of 2012. Biofuel’s gross profit increased from 3.2 million in 2012 to 12.8 million. This difference resulted from improved market conditions for biodiesel largely as a result of the presence of the dollar blender’s credit in effect as compared to the second quarter of 2012 when the tax credit was not available. And for the comparison period biodiesel profitability in the second quarter of 2012 was negatively impacted due to our inventory of unsold internally generated RINs. We do not allocate production cost to internally generated RINs and from time to time we enter into sales of biodiesel on a RINs free basis. At June 30, 2012 we had RINs available for sale which was sold in the third quarter 2012 comparatively we had minimal RINs at June 30, 2013. These improvements in gross profits for the quarter were partially offset by reduced hedging gains in the second quarter of 2013 which totaled 2.3 million as compared to 8.6 million in the same period of ’12. Chemicals segment gross profit increased 31% to 14.8 million from 11.2 million in the second quarter of ’12, the improvement in gross profit other than from improved economies of scale on fixed resources was attributed to an increase from the bleach activator business as the sales process increased customers reduced sales demands and in the variation in product mix. So income before interest and taxes was 25 million as compared to 11.6 million in the second quarter of ’12. Net income totaled 18.2 million for the second quarter or $0.42 per diluted share this compares against 8.5 million for the second quarter of 2012 or $0.20 per diluted share. For the six months ended June 30, 2013 revenues increased 5% to 198.2 million as compared to 189 million in the first half of 2012. Biofuel’s revenue increased 6% from 109.7 million in the first half of 2012 to 116.1 million in the first half of this year. The gallon sold increased as did ever selling price of the 100 unit strong about the market conditions as previously mentioned. Revenues from chemical sales increased 45 to 82.2 million from 79.3 million in 2012, revenues from other custom product increased 27% and revenue from the antimicrobial industrial intermediates increased 47%, partially offsetting these increases was a reduction in revenues from the bleach activator of 6% from the proprietary herbicide in intermediate of 11% and from DIPB of 10%. Gross profit for the first half of ’13 was 49 million up from 27.2 million in 2012 both segments again benefited from the improved economies of scale fixed resources. Chemical gross profit increased 22% to 27.9 million up from 23 million in 2012 other than the economics of scale this increase was attributed to profits realized in the change in product mix, the variability and production expenditures and timing differences and price adjustments to customers for such variability and in gross profit on the bleach activator as the sales process increased on lower sales demands. Biodiesel gross profit increased 21.2 million from 4.3 million in the first half of 2012. This increases was attributed to the retroactive reinstatement of the 2012 dollar blender’s credit of 205 million recognized in the first quarter of 2013, this credit is to expire into this year and no such credit existed in the first half of 2012. Biodiesel gross profit was negatively impacted in the first half of 2012 due to unsold inventory of the internally generated RINs as previously mentioned. Also impacting gross profit for biodiesel was reduced to hedging gains as 3.7 million as compared to 5.2 million in the first half of 2012. Income before interest and taxes was 44 million in the first half of the year as compared to 22.2 million in the first half of last year. Net income totaled 32.2 million for the first half of the year or $0.75 for diluted share. This compares again 15.6 million for the first half of 2012 or $0.38 per diluted share and Lee with that concludes my remarks. I will turn the call back over to you.
Lee Mikles: Thank you Rose. That was really good overview, first addressing the biodiesel margins and profitability they continue to be very strong given the RIN pricing and the return of the governments, $1 biofuels credit. The RVO volume obligation we’re very pleased with that the EPA decided in the last week not to change the 2013 RVO. We will hope and we expect that we will continue to support the growth of biofuels as it considers a proposals for next year’s mandate. We also hope that our legislature will take a serious look at the dollar federal credit and I will let it last it year end, they will get it kind of letting that pass and then putting it on a retroactive basis so we’re hopeful that we will get in front of that but we can have no assurance. Chemicals remained very strong with bleach activator slowness (ph) is expected in the pre-emerging herbicide contract that expires in September of this year inspite of that I think we continue to show a very solid results and I think extra-ordinary profitability there, that’s a combination of product mix and an execution. We had talked about those products previously declining and so it's not unexpected and that’s something that we haven't had time to get in front of. But we continue to discuss for the continuation of that relationship as it applies to the herbicide on a modified tool basis. The chemical division has done a good job of replacing these declines from the larger contract, so I continue to be very optimistic about the future prospects there. On July 29th of this year we received notification from the customer on the intermediate intermediate anode powder, as you know from the lithium ion battery. A termination of that contract and in accordance with the terms effective August 9, 2014, no additional materials expected if you produced or sold in 2013 or ‘14. Termination of the sales of this contract may affect the terms, the grant that we received from the U.S. Department of Energy related to construction equipment utilized to produce the intermediate anode. While we’re unable to predict or estimate the impact of this notice from our customer at this time we do not presently believe that the ultimate resolution of this matter will have a material adverse effect from the overall financial performance, results or operation or cash flow. With those comments operator we will tell it over to questions.
Operator: (Operator Instructions).
Lee Mikles: Just as a comment as we wait here for the questions to queue up, there is a lot of questions come in about RIN pricing and I think people feel that the RIN acceleration price this year vis-à-vis at the end of the year has had a lot to do with the increased profitability and it has, I mean that’s clearly been a positive for us but if you look year-over-year RIN prices in the second quarter of this year averaged $0.94, last year they were a $1. So there is more going on here and not the least of which is the return of the dollar credit but the other dynamics within the industry for the six months period of RIN so far this year of average $0.79 versus the $1.39 last year. So, it's clearly that profitability isn't coming exclusively through the RINs although they are upped from year end which they close year end at about $0.70, they are quite a bit higher than they were at a year-end but lower than last. So just wanted to make those points.
Operator: Our first question comes from Jonathan Tanwanteng with CJS Securities.
Jonathan Tanwanteng - CJS Securities: Can you talk about the potential changes that the ethanol YFRS (ph) legislation that are being thrown around and maybe how that impacts your biodiesel operations?
Lee Mikles: I think as it applies the ethanol changes and clearly I think the genesis of that is pretty clear, it has to do with the blend wall issue with ethanol the 10% level and part of that would have to do with effect that the growth in gasoline is just not been there, it's actually declined a little bit. So I think the changes that are forthcoming on the ethanol side affect us one in two ways if not both. When we could see a modest reduction in the amount of quota (ph) in the marketplace as you get reduced ethanol required usage and yeah I think that’s on the margin. I don’t think that’s a huge issue the best we can tell at this particular juncture and the other side would be people jumping and using the biodiesel RIN, buying the biodiesel RIN that’s to satisfy their ethanol requirement, whether the law of speculation on whether they have been in, they are out of this market my suspicion is from time to time they have been in but for the most part they have been out of that particular market. Although we’ve seen the little bit of reduction in the prices since that was announced what was it 10 days ago or whatever. We have seen a little bit of reduction in the RIN prices and I think a little bit that has to do with the fact that they took the settlement period if you will from the 20% carry over from two months to four months next year, so they elongated the compliance period. So that probably has a little bit above modest effect on RIN prices. So that’s kind of the best I know at this point Jon but it's, I think it's a work in process.
Jonathan Tanwanteng - CJS Securities: Okay you don’t think the recent decline in RIN price has anything to do with production expectations?
Lee Mikles: I don’t know, again that’s a hard one to answer, I suspect given the time it had to do with the extension of the periods in two months to form this but again Jon there is no I can know for that sure.
Jonathan Tanwanteng - CJS Securities: And just touching back on the corn oil availability, we know that many of (inaudible) competitor of yours has a startup facility, just wanting what we think input prices are going to trend going forward especially given the commentary in corn oil as well.
Lee Mikles: Again I think Jon I have certainly talked about this and there has been a lot of speculation about the (inaudible) facility and how much grease that might take off the market and the speculation that’s running flat out but that could be as much as 10% of the grease market and the market is also applied by corn oil and again my suspicion to 10% is not insignificant but corn oil has certainly kept the market well supplied, my anticipation is that it will continue to so even with any modest cut back on the ethanol side but again Jon I can’t know that for sure, certainly keep I think a very close watch on and I think our ability to store product gives us a decided advantage and I think some opportunity when others maybe can’t take the product at certain unfortunate periods for suppliers, we’re able to hold that product for longer periods of time and again as you know we have both feedstock tankage and finished product tankage and again I think that’s the reflection of our strategy to be able to take those feedstocks when others may not be able to hold them.
Jonathan Tanwanteng - CJS Securities: Okay got it and finally given your very nice cash flows in the first half, are you still holding do a potential facility acquisition or is there a chance of perhaps another special dividend later in the year.
Lee Mikles: I’ll address the dividend lastly that’s a board decision, I’ve no way of knowing what the board ultimately decide and when they will decide to do anything but that if anything. On the acquisition side clearly that is still our intent, that’s been our intent for a couple of years again there has been players in this marketplace that wanted to pick more of it's assets than we did. We continue be very active both on chemical side and biodiesel side I think the biodiesel side candidly got slowed down a little bit by the fact that the dollar came back in at probably and made some marginal producers that were either closing down or slowing down probably gave them a little bit of a lift this year and maybe change price expectation. So it's property dampen a little bit of the M&A activity on the biodiesel this year whether that returns or not I can’t answer but that clearly would be the intent to grow the business both organically and through acquisition.
Operator: Our next question comes from Craig Irwin with Wedbush Securities.
Craig Irwin - Wedbush Securities: I wanted to ask about the chemical segment that segment seems to be outperforming with some pretty robust margins and revenue that’s fairly consistently stronger than what we are looking for with the decline P&G and Arysta, 35% margin very strong, can you talk about what’s going on that segment, what’s driving the growth and you know whether there are not any onetime items in the margins?
Lee Mikles: Again I think it's an important point you made Craig and I think it comes down to a couple of things. I think it's product mix clearly and the much discussed decline in the P&G and the Arysta, the herbicide business is being replaced clearly and actually out struck a little bit by new (inaudible) that were bringing on continue to bring on. Again I think that increased sales of biodiesel has a big impact on that as well as that absorbs more and more of the fixed cost of the plant. I think you’ve seen this margins go from kind of a 20% number in the mid-20s up to 30 last year and then 32 and 35 for the two respective quarters here. So, again I think it's very good execution, it's product mix but again don’t underestimate the amount of allocated overhead that’s been absorbed on the biodiesel side. So I’m very pleased and I will give shootout to the people running I think we’ve got executed it extremely well but again if biodiesel was to take a turn that would have an effect, a negative effect on these margins.
Craig Irwin - Wedbush Securities: Understood. So then one of the things we noticed on the cash flow is that your CapEx doubled sequentially, can you talk about whether they are not, you’re investing for a specific program, first if it's on the chemical side or the biodiesel side and whether or not you’re investing for any specific program and it's maybe this is a take or pay contract or these are the some details you might be able to share.
Lee Mikles: Yes, yes, no. That means that we continue to invest in both the improved product mix on the chemical side and there are larger and smaller pieces of business there that we continue to invest in and as I talked about it before, the investment can either come from the customer or come from us and the particular pieces of the business that we’re adding now, a lot of that investment is going to be coming from us and obviously we get a we have an expectation of return on our capital and a return on our manufacturing of the ultimate product. On the biodiesel side it's an effort to continually improve efficiency on that side and we have we have continued to invest on that the first six months of this year so I think we’re really investing on both sides but what I say it's a specific product all products are specific by nature but again there isn't anything that we have to talk about at this particular juncture but any new particular piece of business what the individual identified.
Craig Irwin - Wedbush Securities: Understood and then just going back to the biodiesel side of the business, there has been a discussion that the EPA could be looking at an RVO of something like 1.8 billion to 1.9 billion gallons for 2014. In the reaffirmation of their 1.28 billion gallons this last week, they spoke very highly of biodiesel and they seem to indicate that the industry could produce 2 billion gallons. How would this impact you as a low cost producer versus some of these more marginal players that would be brought into the market and would that allow you more flexibility as far feedstock, so what do you look at when you consider this sort of scenario?
Lee Mikles: So I do believe that the 2.0 manufacturers out there are mostly on the feedstock side, some of them want to also refine the product but most of it is coming on the feedstock side. So any breakthrough there will be welcomed by us because there is a refiner that just give us a small product in the marketplace but a 1.8, 1.9 RVO next year I think will be a tremendous boast to the industry and I think that we and others would be beneficiaries of that.
Craig Irwin - Wedbush Securities: Great and then last question if I may I understand from talking to other companies involved in the biodiesel industry that RIN price quoted on some of these sources are not necessarily an accurate representation of where RIN values are being traded in the market. Sort of like the LIBOR evolved actually right? People put in what they want. And some of the companies out there have RIN purchase agreements, or long-term RIN supply agreements, where they take RINs at a collared price, and that also impacts the biodiesel transaction prices. Can you talk about whether or not you have any of your biodiesel volume in sales agreements that are not based on spot values in the market, and whether or not you have RIN-related agreements under a similar sort of contract?
Lee Mikles: Well couple of things, I think the futures market is trying to get off the ground and evolve for RIN prices would be a positive for the industry, I think anytime that a producer is able to hedge the outcomes and again because of natural reasons Craig on why that would evolve, you got natural buyers and you got natural sellers and in terms of our agreements Rose maybe you want to make a comment on that on RINs that we may hold in any types of agreements that we may have there?
Rose Sparks: So RINs I mean the majority of our business I would say is RINs attached with the product we sell however for the RINs that we do separate and we do from time to time with our regional market that we’re trying to develop. We spot still those in the most fortunate time. As far as separate RIN contracts we haven't engaged there yet because we don’t see the benefit of it as of yet.
Craig Irwin - Wedbush Securities: But as far as the biodiesel prices that you negotiate with your customers, are they heavily impact by spot RIN prices, or more by the long-term demands of these customers of yours?
Rose Sparks: It depends we do it both ways, as far as pricing formulae it can be structured either way.
Operator: Our next question comes from the line of John Tanner with CJS Securities.
John Tanner - CJS Securities: Just a quick follow-up. Given the chatter on next year's RVO, or potential, what is your ability to increase production and capacity over the next 18 months or so and execute against that opportunity? Just trying to quantify that a bit better.
Lee Mikles: Well couple of things John, I think as we have talked about before having taken our capacity down to try to improve our front end over the last couple of years and then bringing it back, trying to bring it back upto capacity that we have endeavored to do and I think we’ve done a good job on that front making progress on that front. The question is do you jump from 59 million stated capacity in your facility as we move up to that number and again there is a small producer credit issue and then you look at your localized market and how much can it really absorb. I think the number is higher then we have then our stated capacity but is double we don’t think so and again this all comes back to how far you can move this product effectively, with the margins the industry other, ourselves and others are able in the current environment to produce, you can probably go a long way instead of economics that would be scalable (ph) but I think cycle to cycle you’ve got to work to kind of as the product comes in, the feedstock comes in by rail goes out by truck for the most part. So you’re looking at maybe a 300 mile radius to move that product efficiently and effectively, economically. So again I think there is a little bit of room for growth at this particular facility if we choose to do so, it isn't a question of the cost increase capacity is what the local market can absorb. So I think if we’re going to grow modestly we can certainly do at this particular site as the market continues to mature and become more robust but again I think the larger issue of increases on the biodiesel side would include acquisitions and again we would be very excited about making acquisitions on that side of the business if in fact the right facility at the right price were available
John Tanner - CJS Securities: Got it. Can you quantify what would happen if you exceeded that small producer that 60 million limit?
Lee Mikles: You have heard in the past it's 10% credit which is on your first 20 million gallons it's $2 million so that’s why the kind of magic under 50 but again these credits have a way of coming and going and again that maybe a factor going forward and again that may not.
Rose Sparks: I’m sorry just a slightly addition here, it's 1.5 million.
Operator: Our next question comes from Craig Irwin with Wedbush Securities.
Craig Irwin - Wedbush Securities: Just a couple more questions on the chemical side. Lee, can you update us on the approximate facility utilization rate right now and how you see this progressing over the course of the next few quarters?
Lee Mikles: Well I think I’m going to let Rose take the actual number because she is well closer to it than I’m but I think there is still some modest growth available at this facility as I often say if you listen to your sales force it's going to be limit out in the next 30 days but it's a little bit harder to less that to ground, I think we have done a very effective job of filling the plant up to a profitable business. But again in terms of capacity and utilization you never get to a 100% in a plant like this, it just doesn’t the puzzle doesn’t fit together that way. But Rose do you have idea where we are and how much more capacity is available at the facility without going back and rationalizing the older business.
Rose Sparks: That’s a little difficult to quantify Lee in the fact that we do have a best plan and you know, our batch plant yes it's becoming more full than it's ever been but as you know the proprietary herbicide intermediate is declining and we are able to add some new products that helping to fill that gap but there is some room for growth in the batch plant not a considerable amount of room for growth there. Obviously with our other custom chemical business it depends on what type of contracts we’re able to negotiate with the customer as to whether we build a separate independent continuous plant for those customers we can do so but I think Craig your question is more in terms of our batch plant possibly but if you look outside the batch plant a continuous process, it just depends on what we’re able to negotiate with our customers and their needs.
Craig Irwin - Wedbush Securities: And then another question on the chemical side. Can you update us on the approximate number of customers that you have and the breadth of SKUs that you sell to these customers?
Lee Mikles: Rose that’s better for you.
Rose Sparks: The current number of customers we have right now it was kind of hard for me to quantify as well because we do have the proprietary chemicals where we sell to many different customers, it's less of our what 4% of our revenue. In terms of our major chemical customers where it's more custom I would say probably 25, possibly 30 and Craig I apologize that’s completely off the cuff I can give you more accurate answer later but as far as the performance chemicals so that could be up to a 100, a 150 off the cuffs.
Craig Irwin - Wedbush Securities: Excellent. I appreciate that. Then another question on the biodiesel side. So, many years ago, Lee, when close to the time when you formed FutureFuel, there was significant discussion about building a much greater capacity on the biodiesel side. Can you may be update us on roughly what it would cost to add capacity and what the potential to add capacity would be in the existing plant? What would it take to go to, I don't know, 150 million gallons or something like that, if we really did see some of the market conditions that the National Biodiesel Board is suggesting might actually occur?
Lee Mikles: Yeah it's really a logistics issue more than is it anything else, in terms of going from call it 59 million to just call it a 159 million gallons certainly would not be an expensive but it wouldn’t be anywhere close to what you see in the plants that have been built in the past where it's a $1 $1.5 of construction cost it would be de minimis vis-à-vis but those types of numbers but the number will not be insignificant but again all the accoutrements are there. We have got I guess I would call an oversized tank farm and that’s Tony Novelli's business, and he knows it all too well and we did that initially not only to accommodate this kind of straw hats in the wintertime approach that we talked about but are loading and unloading our rail capacities double since we bought the plant. So I think we’re ready to get a lot bigger if the marketplace was there, but to quantify exactly what it would be to expand the plant I don’t think we've run those numbers with any specificity, just because the marketplace hasn’t yet evolved. If that RVO goes to 1.8, 1.9 clearly that might expand the market that we can get to and I could probably give you a little better answer to that particular juncture.
Craig Irwin - Wedbush Securities: Understood. But what sort of lead time would it take to complete a capital project like that? Are we talking something that's 18 months to two years?
Lee Mikles: No it's anywhere close to that it's probably 9 to 12 months but again, don’t hold me to that number that’s probably a guess just given that our if I look back at our other expansions that we have had I would hope that we could do in a year or less but again that’s probably a less of a priority right now for us than executing on the capacity that we have in place today and again if we can get some clarity out of the government on what these RVOs are going to be going forward, what the credits are going to be going forward for more than months at a time, 12 months at the outside. I think it would allow us and others to invest more prudently and plan more effectively for the future.
Operator: And I’m not showing any further questions at this time. I would like to turn the conference back to our host for closing remarks.
Lee Mikles: Thank you very much. Thank you Rose, I think you did a very good job of giving us financial overview of the company. We appreciate each and every one of you as shareholders and stakeholders and we look forward to talking to you after our third quarter results.
Operator: Ladies and gentlemen that does conclude today’s presentation. You may all disconnect. And have a great rest of the day.